Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Welcome to today's Helios Towers Full Year Results for 2021 Conference Call. My name is Jordan, and I'll be coordinating your call today. [Operator Instructions] 00:18 I'm now going to hand over to Kash Pandya to begin. Kash, please go ahead.
Kash Pandya: 00:24 Thanks, Jordan. Good morning, everybody and thank you for joining Helios Towers' full year 2021 results. We, during the course of 2021 have significantly expanded our portfolio and invested in quality growth and returns that we're going to take you through the detail of. 00:42 Moving on to Slide 2. Joining me today, as always is Tom Greenwood, who will be taking over from me as CEO in a little over a months’ time on the 28th of April; and Manjit Dhillon, our CFO, who is actually now reigned as CFO during the whole of 2021 as his first full year as our Chief Financial Officer. To make the point in there regarding our talent development program, Tom and Manjit are great examples of the Board's focus on developing internally talent to reach the highest levels of our organization. We have many other individuals that have climbed the ranks into the executive management team and so on. 01:31 But let me now move on to what we're going to cover today. I will shortly take you through the full-year 2021 highlights and then hand over to Tom to take us through the business updates and Manjit, of course, will go through the financial results, noting that there's plenty of time at the end for questions-and-answers, which will be coordinated through our conference coordinator. 01:53 I will move straight to Slide 5 and take you through the highlights of 2021. It's been a transformational year through our expansion on entering new markets. We strengthened our balance sheet and achieved and delivered record operational performance in terms of our customer service. Taking the first point on this slide, consistent and strong organic growth in terms of tenancy growth, we delivered 1,262 year-over-year additional tenancy, some 8% adds to our portfolio and hitting the midpoint of our guidance, which was a 1,000 to 1,500 and that guidance was consistent for the last few years. You will note that we've increased our guidance for 2021 -- sorry, 2022, which I'll come on too. 02:47 As I've mentioned, it's been a transformational year for M&A for our business. During the course of ‘21, we closed two acquisitions that we'd announced in the year, adding some 1,700 sites, close to 1,700 sites and a little over 1,800 tenancies. In addition, during 2021, we've also signed deals to enter Oman, Malawi and Gabon, which are well underway in terms of progressing and we expect to close these during the course of 2022. We delivered robust financial performance, 8% revenue growth, 6% adjusted EBITDA growth. We've seen a slight deterioration on margin explained by the new volume of towers coming in for Senegal and Madagascar. And, as you know, we acquired towers that typically have low levels of tenancies and then we build tenancies and add margin, add IRR and return on invested capital through additional tenancy growth, which is the model we operate in. 03:58 And then an example, the dilution in our margin is driven by Senegal, which came in at tenancy of approximately 1 tenant per tower and Madagascar around 1.2 tenants per tower. In addition, we've added some SG&As ahead of the markets coming onstream and this is quite typical. We'd like to hit the ground running in our markets when we close markets and we want to make sure our customers see an improvement in the service levels we deliver and this SG&A allows us to get ahead of the curve. For example, in Malawi, we've got our operational team up and running and this market should close soon. In Oman, we've got people that were recruited and hired that are working in the organization ready for that market to be closed. So this is the reason for a slight deterioration in our margin. 04:52 In terms of continuous reduction in our capital costs, well, Manjit and the team have really worked hard in making our borrowing costs more efficient. Now, we're at 5.9% blended debt, cost of debt. We, of course, also went through a convertible bond issuance of $300 million during the course of last year and in some local facilities in Senegal. We are now fully funded for our acquisitions that we are pending to close with namely Oman, Malawi and Gabon, and of course our organic growth is fully funded through our cash flow lines that we deliver. 05:34 Outlook, point five on this slide, well, as I mentioned, we've now upped our guidance to 1,200 to 1,700 tenancies organic ad during the course of this year. That's from 8 percentage points, if you take the midpoint of that range and our contracted revenue stream is just a little under $4 billion, again demonstrating the strength of our contracts and the revenue we got ahead of us, of course all with the embedded CPI and power escalators that protect us against any volatility in inflation as well as cost of power and cost of oil, diesel, et cetera. 06:21 Moving on to Slide 6. A little bit of a scorecard first of all on our sustainable business strategy. We're delivering value for all our stakeholders. Regarding our customers, we've continued to drive improvement. We delivered record power uptime for our customers in the form of 99.99% and in some markets even higher than that to our customers in terms of service proposition. Our people -- we've continue to develop and strengthen our local organization there and localization is part of our business excellence strategy and we have some 97% of our colleagues from the markets we operate in and we'll continue to invest locally to strengthen organization as time goes on. 07:07 Our partners and suppliers, again, we believe in spending money locally, investing in our supplier base and contractors based by not only spending hard dollars with them, but also working hard to invest in that capabilities and training Lean Six Sigma execution, for example, into our maintenance of powers, et cetera, is an ongoing methodology in our organization. We -- our communities, while we serve with our infrastructure close to 140 million people and as we expand our markets and footprints in the existing market, we are hoping and focusing on bringing more connectivity to more people in the markets and expect to grow this 139 million served population to higher number. 07:58 And in terms of the environment, I'm pleased to say that during 2021 we managed to reduce our carbon impact per tenant per customer on our towers by some 7% and that's an ongoing strategy. And, finally, in terms of last year's scorecard, we did our first CDP scoring assessments and we scored B minus. This was ahead of the expectation that we would like to believe before the process started, so we were encouraged by a validation of our strategy and actions that we're taking to drive the environmental impact our business has in the communities we operate in. 2022, well, our continued commitment to sustainable business strategy and transparency. 08:45 We're working closely with our customers to engage with them on the carbon reduction program and to some certain degree our customers are coming to us for guidance on what we've done and they are stealing shamelessly, well, while we're very proud of that -- from us in terms of what we put forward as a roadmap for our business. Our Sustainable Business Report, we're about to issue a second report that will be published next week, outlining the progress we're making on sustainability. 09:17 Regarding our supply chain, we're now launching our assessment program for our suppliers to understand what their sustainable practices are and more importantly we will work with our partners in each of our markets to help them go up the learning curve in how they drive the sustainable approach that we are taking. Communities, we're very much engaged in our communities. And, as an example, we've launched the rollout of a School For Engineers internship program across all our markets that helps young engineers get qualified that can then be deployed into our business, but also our partners' businesses that help us deliver the service and the rollout of our portfolio in each of our markets. 10:06 And, finally, on this slide, we are committed to our Project 100 and Project 100, in summary, is $100 million over the next 10 years as we approach 2030 in investing in hard dollars to help reduce carbon impact and we've got initiatives planned for this year that equates to $10 million to drive our target of 46% tenancy carbon reduction per tenant by 2030 and that's ongoing work that we will be rolling out over the next eight to nine years. 10:45 So, on that note, I would like to hand over to Tom, who is going to talk through our business update.
Tom Greenwood: 10:53 Thank you very much, Kash and hi, everyone. It's great to be talking to you today. Hope everyone is well. So I'm on the next section, the business update section starting on from Page 8 and I'll talk you through some of the implementation of our strategy both organic and inorganic and then just to remind us some of the key fundamentals of our markets, which drive our business. 11:19 So turning up on Page 8 and here we show how we're delivering on our portfolio expansion, our organic growth and our diversification, and essentially delivering what we said we would -- when we IPOed and that very much continues. So, first of all, on the left-hand side, here we see our organic tenancy growth year-on-year and of course, we delivered fairly consistently over the past three years obviously with a bit of an uptick in 2021, which is good to see and tenancies started fairly strongly in 2022 as well, which you should see when we report our Q1 in the not-too-distant future. This is obviously all driven through the fundamental drivers in our markets from low levels of penetration and just simply the need for more connectivity, more infrastructure, more densification of the network and I'll come on to that a little bit in a few slides' time. 12:24 Next up, when we did our IPO, a key part of our strategy was scale growth and diversification geographically. And, as you may remember, we articulated at the time the focus to drive from five markets to eight markets and from 7,000, towers to 12,000 towers and of course, with the acquisitions that we've announced plus some fairly strong organic growth we're well on the way to beating those pending closing the acquisitions and we will be in 10 markets with close to 14,000 towers in the next few months. 13:06 Of course, the next question is what comes next? Well, I think as everyone has been invited to our Capital Markets Day on May the 5 in London, which is also available for dial-in, we will, at that point, be articulating our new five-year strategy going forward and so very excited about that. I hope to see many of you there. 13:28 Moving on to the next slide, Slide 9. This is a quick update on our acquisitions that we've announced. And here we see the five markets; Senegal, Madagascar, Malawi, Oman and Gabon. As some of you may have seen, a few weeks ago we decided to put pens down on Chad, which was the sixth market, just to simply delays and moving forward on the regulatory process there. So we agreed with Airtel that we would put pen down on that. But I'm pleased to say all the other markets are firing on all cylinders and moving very much towards closing. So with Malawi, we anticipate closing that fairly imminently, probably in the next two weeks. 14:14 In Oman, we're moving towards that well with the regulatory process. We expect to close that for the end of Q2. And Gabon, which is always the one which we expect to take longest and we expect to close that in the second half of this year. Senegal and Madagascar, as you know, are now fully part of the business from an operational standpoint, having closed Senegal in Q2 last year and Madagascar in Q4. I'm very pleased to say we've got great teams in both markets led by Karim in Senegal and Jerome in Madagascar. And, of course, we have great teams that are being built in the other markets as well, Malawi, Oman and Gabon. So very much looking forward to closing those and them becoming fully operational as we move forward. 15:11 Just a note on here, Ramsey Koola, Managing Director of Oman, has been in the business for many years as well as just another example of our internal development program. Ramsey was originated within our group operations team, worked in a number of different markets as well within the operational and IT capacity and then became on Managing Director of Tanzania for few years and did an excellent job there and he is now being promoted to launch Oman and he is also now Regional Director covering Tanzania and Malawi as well. So just another example of our internal development program, on which we placed a huge amount of focus on. 15:59 Moving on to Slide 10 and here we just wanted to highlight and to show everyone what these acquisitions mean, particularly in the short term, because typically, as Kash mentioned earlier, when we're doing these acquisitions of new tower portfolios in new markets, typically we're buying portfolios in low tenancy ratios, so it could be anywhere from between sort of 1.0, maybe up to 1.3, 1.4 at the top end. Now, as a reminder, our more established markets, of course, have a tenancy ratio well over 2 tenants per tower, which drives margin and return on capital. 16:47 So when we buy these new networks with a lower tenancy ratio, typically, we're buying networks which had on day one a slightly lower margin and slightly lower ROIC than the rest of our more established network, but of course we are buying them to then utilize them fully and lease up the towers up to similar levels of our more established portfolio. And I think as you can see from the table on the left-hand side here, we've pulled out some of the areas which got diluted, which is tenancy ratio and the consumer side is diluted on day one for the new acquisitions. Similarly, the EBITDA margin and the ROIC side. But the good news is, and as you can see from the right-hand side chart here, we highlighted -- the good news is, with buying networks which were underutilized, which we will now begin to lease up with the incremental demand that we see in our markets. 17:45 And, as you can see, looking back to 2016 here in our business, which was after a period of large acquisitions of that time, we took the business from, for example, a margin of 37% up to 55% and lot of that was driven through the increased colocation ratio over that time. So what we see here now, and we're right in the midst of it, is the movement from five markets to 10 markets, so it's growing substantially in scale, diversifying from a geographic perspective and from a customer’s perspective. We see a short-term immediate dilution in tenancy ratio margin and ROIC, but of course, we're then primed for lease up and growth over the coming years and of course the demand that we're seeing in all of our markets is still very much substantial and therefore the long haul. 18:42 So moving on now to Slide 11 and this is again a reminder, some of the sorts of unit economic returns that we see on our key product of build-to-suit and why this business just produces such long and compounding cash flow return. So, on the left-hand side here, you see some illustrative figures for ROIC on an individual site basis, so you can see on a single tenant side we're getting sort of low double-digit sort of returns. And then as we lease up and put a second and third tenants on the site, of course the OpEx and the operating cost of the site stay broadly flat with only a small increase, but the revenue increase is substantial. Thereby, increasing the ROIC of the site quite exponentially. 19:45 And on the right-hand side here what you see is the typical cash flows across a 40-year period for one of these towers, depending on how many tenants are on it and of course these towers, which is effectively steel and civil works, lasts for a lifetime as long as you look after them well, which we do and so the cash flows far exceed the initial investment in the assets. And, as you can see, that is roughly a five-year on average payback for building a new site. 20:29 Moving on now to Slide 12. Again, if you -- a reminder of some of the key fundamentals driving the organic side of our business and the continued delivery of well over 1,000 tenancy each year. Of course, we've upped our guidance for this year, which Manjit will come on to. But, again, our markets are really the engines of growth, particularly in the telecom sector. The dynamics of our markets across Africa and Middle East are significantly rising population, significant urbanization, a very young population, which of course drives incremental demand for mobile services, particularly data, and of course, large GDP growth going along with all of that, and you combine that with low mobile penetration, so huge growth in terms of mobile connections forecast, 63 million new mobile connections forecast over five years across our markets and increase in penetration of course, which comes with that. 21:47 And then 4G and data growth significantly as well. So all of this drives the need for more mobile and tenants, for more dense networks to mobile and tenants, and more data networks become prevalent and of course as we use more data and the networks, the space between antennas needs to reduce, i.e., the density needs to be increased of the network. So all of this drives the need for points of service, which of course is how we are and on our revenue. So we're very excited about the organic growth potential as we look forward over the next five years and beyond. And on the right-hand side there you can, of course, see some of our key customers and the investments that they are making and we are supporting them with, which is very, very exciting. 22:39 So, with that, I will hand over to Manjit to take us through the next section.
Manjit Dhillon: 22:45 Thanks, Tom. Hi, everyone. It's great to speak with you today. I'll be going through the financial results. And starting on Slide 14, where we show our robust financial performance over the last few years since 2019. We've seen continued year-on-year EBITDA growth driven by organic and inorganic tenancy additions and partially offset by some SG&A growth investments, which are required as we double in scale. 23:09 Portfolio free cash flow and ROIC, whilst remaining fairly robust, they declined slightly year-on-year. For portfolio free cash flow, whilst we've seen increasing EBITDA growth, we had some higher cash taxes as we're transitioning from loss making to profit making in our established markets, and increasing expenditure related to ground leases and non-discretionary CapEx due to the increased asset base. But, over time, these costs will be leveraged as we lease up the portfolios. 23:35 As Tom mentioned, given our increasing scale and given the nature of the assets that we buy, i.e., portfolios, towers, which have compelling opportunities for lease up and compounding growth, but with low initial tenancy ratios we will see some dilution in the few metrics, including return on invested capital, but excluding acquisitions rose 13.2%, again this has come down slightly from prior year due to the fact we had higher tax payments, as mentioned a moment ago, and with acquisitions ROIC was at 11.7%. With integration of the other announced deals, the three markets that we expect to close over the course of this year, we should see ROIC a little bit further in the short term. 24:00 But again just to reiterate the point that Tom made, we have a strong track record of entering new markets, growing successfully organically, expanding the portfolio and leasing gap, and driving strong returns. On a specific experience and track record, if you take into these new markets and new exciting points that we've expanded the basic platform to which we can deliver accretive sustainable growth into the medium and long term and we're going to see ROIC growing in the coming years. 24:36 Moving on to Slide 15. As mentioned earlier, we've had one of our best years of tenancy growth, both organically and inorganically. Organically, we added 1,262 tenancies with a bulk of these coming in the second half of the year and hitting just above our midpoint of tenancy guidance. And inorganically we added close to 1,900 tenancies through the combination of Senegal and Madagascar. Tenancy ratio has dropped slightly on a group basis due to the lower tenancy ratio in the towers we've acquired, but on an organic basis I expect in the new acquisitions we continue to build our tenancy ratio to 2.15 times. And again that's a testament to the growth potential of our established market and our ability to lease up portfolios in our markets over time. 25:17 On to Slide 16. And we see continued growth in revenue and EBITDA, 8% revenue growth and 6% EBITDA growth year-on-year. Again, a number of tenancies came in later in the year, so we don't have much in-year revenue impact of these, but we'll see these coming through during the course of 2022. EBITDA growth of 6% year-on-year with growth in the topline being offset somewhat by the investments we've made in our SG&A as we increased our scale and also due to in part due to some of the increased license fees coming in DRC during 2021 of 3% of revenues, which is broadly aligned with license fee ratios in the other markets. 25:54 Final point on EBITDA margin, a slight decline again principally due to the impact of lower margin in new market. We will see this dilute further with the phasing of other announced new market deals, but then we'll see this rebound in the short to medium term. Overall, I think our tenancy pipeline looking strong for 2022 and I'll come on to guidance and outlook in a few slides' time. 26:14 So moving on to Slide 17, you will see the usual breakdowns provided, which are very consistent from previous updates. We have a robust business model underpinned by long-term contracts with a diverse quality customer base with stronger hard currency earnings. 98% of our revenues come from large blue chip mobile network operators with a diversified mix with maximum -- single customer exposure at 26%. 26:42 We have strong long-term contracts by customers and at the end of 2021 we have long-term contracted revenues of $3.9 billion with an average remaining life of 7.6 years and this is up from $2.8 billion at the end of 2020. And this means exchanging new wins and roll outs, we already have that revenue contracted in the bag and provides a strong underlying earnings stream for the business. 27:02 Importantly, given the mix of our established markets and new markets, we have 63% of our revenue in hard currency be either U.S. dollar or euro pegged, which translates to 65% of our EBITDA being in hard currency. And this provides a fantastic natural FX hedge for the business, which is further complemented by our annual inflation escalators, which we have in our contracts with our customers. 27:24 Pro forma for the new markets, that is due to actually being further strengthened to 72% of EBITDA in hard currencies and is this combination of FX protection, long-term contracts with blue chip operators, which provides a robust business model to capture the growth, which Tom spoke about earlier. Finally, a thing to mention in the slide, with the new market expansion we're seeing a more diversified split of revenue per market and pro forma for the acquisitions most single market accounts for more than 30% of revenues. 27:51 Moving on to Slide 18. I wanted to take a moment to quickly recap the contractual protections we have in all of our customer contracts, particularly as we go into a period where we've seen some elevated levels of inflation in fuel prices, at least on more of a macro level. Of the business, we're very well hedged against movements in FX, power prices on inflation and, as discussed on the prior slide, we have innate FX protections due to operating in some hard currency markets. But importantly, we also have escalators in our contract which escalates simulations about inflation and power prices. 28:25 For inflation, these are annual escalators, which typically escalates in December and January with the escalation linked to the [indiscernible] that we receive, i.e., if we're receiving U.S. dollars and issue a CPI if it's local currency, it's local currency CPI. We also have power price escalators with a rough split being 50-50 between annual escalator and quarterly escalator and these go both up or down depending on the local power prices. So if there is falling prices, the escalate reduces; and if there is an increase in prices, the movement, there is an increase in the escalator. But over time, and we've seen this, this provides a good hedge to the business. 28:58 I think, one thing to flag is that whilst you may have seen some Brent crude volatility, it does actually take time to see this translate from screen to actually what we experienced in the local markets and local prices and we've shown some analysis of this on the graph at the bottom of the page and, typically, we see a lag between anywhere between three months to even a year to really have an impact lately. And typically the movements in the markets are far more muted without so many peaks and troughs compared to Brent crude. And if these local prices which we experienced with regards to reference pricing for contract escalations and also for our procurement of fuel. 29:33 Given the timing of escalators, we may experience a short-term lag between the dates that we have an estimate to kick in and when we actually may experience cost movements. So in terms -- in times of rising costs, we may see a temporary negative P&L impacts, but there again in terms of falling cost you will also see the comeback. In general though, despite this lag effect, the structural mechanisms we have in place have been and continue to be a very effective risk mitigation tool and I think structurally we are robust and well positioned. But, as always, we remain vigilant and proactive in management of potential movements in prices. 30:05 Moving on to Slide 19 and look at CapEx. On the 2021 we incurred a total CapEx of $395 million, of which $242 million was in relation to the acquisitions of Senegal and Madagascar with $153 million for the established markets, which was in line with the guidance we gave last year. Looking at 2022, we're guiding between a range of $800 million to $840 million with a majority of that, $650 million, being related to Oman, Malawi and Gabon closings and with a range of $160 million to $200 million being for our seven markets, which are currently operating today. 30: 26 Of that, between roughly $30 million will be non-discretionary, i.e., for maintenance and corporate CapEx and the remainder of $130 million to $170 million being discretionary CapEx. Roughly $30 million of that will be for upgrade work we will be completing on some of the new sites we have recently acquired, $10 million will be linked to Project 100 and, as Kash mentioned earlier, this is our commitment to roll out carbon and OpEx reducing initiatives and we'll make our first $10 million investment of that this year on items like solar, hybrids and other initiatives. Most of these will come in the second half of the year, so we should start to see some impact of these late in the year/next year. 31:16 And the remainder $90 million to $130 million is on growth and that's related to the rollout of tenancies for the year and I'll come on to more detailed guidance shortly. But we are expecting to roll out organically between 1,200 to 1,700 tenancies for the year, of which 60% will be in new sites. And, as a reminder, the additional $30 million we incurred in Q4 last year is to ensure speedy rollouts of our exciting pipeline this year has already been factored into these numbers. 31:42 Moving on to Slide 20 and a look at our cash flow. As mentioned earlier, we've seen solid portfolio free cash flow of $168 million, which declined slightly over the last few years. And if you look at the table, you can really see that this has been driven by the increase of the tax has been paid as we become profitable in our established markets. Receivable days has reduced, although they are still remaining in the broad range of 45 to 55 days, which we've seen being relatively consistent over the past few years, although a slight decline period-on-period which is great. And really, we've reinvested the cash raise we generated into portfolio expansion as well as taken on additional capital to support our transformational growth, which actually takes you now to Page 21, which shows our summary of financed debt. 32:23 Our net leverage at the year-end was 3.6 times and continues to be at the low end of our target range of 3.5 times to 4.5 times. We expect this to tick up towards 4.5 times as we post the other markets during the course of the year, but really there is ample headroom and this leveraged very much under continued tight control. As it stands today, we currently have circa $900 million of available funds, which is more than sufficient for announced acquisitions, which are due to close, and our organic growth, which for most of our established markets is actually self-financing. 32:53 In terms of cost of debt, I'm really proud that we've been able to take the momentum of 2020 and continue to do great work of reducing our cost of debt in 2021 with our various financings. For example, our inaugural convertible bond issuance and we currently have a blended cost of debt of 5.9%, which is 3% less than what it was a couple of years ago when we listed. We sit on a very strong balance sheet with long tenure debt with a very limited floating exposure and I think it's good to say that we're in a great position there, but if we do choose to do any financings or refinancings, we'll be doing this for strategic reasons and are possible we continue our trend of reducing our cost of debt. 33:29 And finally, onto Slide 22 and here I'll outline our guidance. For 2022, as a result of the portfolio and new market expansions in 2021, the group is now targeting organic tenancy additions of 1,200 to 1,700 in 2022. Previously, we used to guide towards to 1,000 to 1,500. And this reflects the continued momentum in our established markets and organic growth targeted in our new markets in Madagascar and Senegal. 60% of the tenancy additions are expected to be in new sites. Previously, we had guided to 45% new sites. However, given the network expansion plans of the M&As, we are finding the mix has slightly shifted, but as indicated in the medium term target, in the dotted box, we expect that mix to shift to majority co-lease over the coming years. 34:14 In line with prior periods, we anticipate the majority of our tenancy going up to occur in the second half of the year and as such the group is targeting 25% of new tenancies in the first half of 2022 with the remainder 75% in the second half. And we expect this kind of cadence of rollout timing to continue into the medium term. Subject to closing of the announced acquisitions in Oman and Malawi, the group targets medium term annual tenancy additions of 1,600 to 2,100. Just for 2022, we anticipate lease rate per tenant to increase in the range of 3% to 5% during the year and that's going to be really driven by our CPI and power price escalator movements [indiscernible] in our contracts will kick again, which I spoke about earlier. 34:57 And in terms of adjusted EBITDA margin, we're targeting between 51% to 53% in 2022 compared to 54% in 2021 and that largely reflects the full year impact of portfolio acquisitions in Senegal and Madagascar with both having lower tenancy ratios, but being very much primed for growth and the incremental group SG&A required for diversification increased from five to 10 markets. In addition, there is a little bit of short-term volatility you may see as a result of global inflation and energy prices and the lag effect, which I mentioned earlier. We've added Oman -- Malawi and Oman with a run rate EBITDAs underneath and depending on closing we'll see that pro rata impact on our numbers for 2022. 35:36 I covered most of the points in the medium-term guidance, but just to recap we expect 1,600 to 2,100 new tenancies, including the broader portfolio of Oman and Malawi and expect a portion of new tenancies from site rollouts to reduce to 30% for the period. Expect the same tenancy seasonality in three-year and we guide the lease rate for tenants increasing by U.S. inflation after this year and we expect EBITDA margin enhancements from 1% to 2% per annum going forward as we grow the portfolios in lease up. 36:05 And, with that, I'll pass it back to Kash to wrap up.
Kash Pandya: 36:09 Thanks, Manjit. I'm on Slide 23. And look, this is the last slide before we go to Q&A. So as you heard key takeaways, driving sustainable value for our stakeholders. We've significantly invested during the course of last year and will do so during the course of this year to build a broader stronger platform across 10 markets with 14,000 plus sites once we've completed the announced acquisitions that we will close during the course of 2022. 36:39 Strong growth opportunity, supports high quality growth and returns and we will accelerate this growth during the course of 2022. And we will be making continuous progress against our sustainable business strategy, which will report on during the course of this year during our quarterly and half year announcement. 37:02 On that note, I'm going to hand over to our conference coordinator Jordan to help with the Q&A. Jordan, over to you.
Operator: 37:11 Thank you. [Operator Instructions] Our first question comes from John Karidis of Numis. John, the line is yours.
John Karidis: 37:37 Thank you very much. Can you say a little bit more, please, to help me reconcile, on the one hand, the guidance you've given for the phasing of the tenancy growth during 2022 and, on the other hand, that -- the fact that Tom just said that tenancy growth in the first quarter is likely to be pretty good and also that three months ago you said that you were forward purchasing CapEx, because you were expecting a strong start to 2022? That's my first question. And then my second and -- of two is, could you please remind me of the incremental investments you've made in SG&A and how that sort of changed since you first mentioned that you'll be spending more and the phasing of that? Thank you.
Tom Greenwood: 38:46 Hi, John. Why don't I take -- it's Tom here. I'll take the first one and Manjit, if you take the second on there. Yes. So, John, I think the guidance we've given is 25%, 75%, as you know, for this year. And if you look at last year, that's actually more skewed. So last year, it was 13% in H1, and 87% in H2. So we are guiding towards a stronger rates in H1 already. The other element is the number of tenancies we're guiding too has also actually increased, so 1,200 to 1,700. So in terms of an absolute number of tenancies for H1 obviously means a higher number than it -- what it would have been a year ago when we were at 1,000 to 1,500. So the preordering of CapEx is something that actually is very key for our business and actually a lot of businesses around the world at the moment just simply because supply chains have increased in lead time in general and this is being the same for the last 18 months to two years quite frankly. 40:15 And so much as things that used to take, say, three months from order to delivery into our warehouse in market now take five months, maybe even six months in some circumstances. So you do have to award a CapEx earlier and that's what we do in general now. But specifically for last year when we were ordering some additional CapEx, this is predominantly we were referring to some CapEx or some tenancies, all are build-to-suits, et cetera, in Q1. That is very much the case. Whereas in, say, Q1 last year and even the year before, I think we rolled out something like 70 tenancies, maybe 80 tenancies in the quarter, you'll see -- we'll see several hundreds coming through in this Q1, so there has been a, yeah, I guess sort of change in the volume quantum and you'll see that come through. 41:20 And just generally on supply chain, we will be continuing to be proactive and the kind of cadence that we have now for our supply chain is toward things more like five or six months in advance rather than three months, which was the case before COVID and I think that sentiment very much continues given some of the other challenges going on globally today as well. Obviously, COVID is -- maybe slightly got off of people's minds, but there are other things happenings, which means that we need to stay ahead of the game, which is absolutely what we're doing. Manjit, do you want to address the second question.
Manjit Dhillon: 42:10 Yeah. So on SG&A, so we've announced as follows. So in 2020 and following the acquisition of Senegal, we then gave guidance of all will be adding $2 million. Now, at that point, we really had Senegal announced and very competitive processes on the others. Then in the middle of last year, we upped that to incremental $5 million, again that's due to the fact that we had such a substantial growth that's coming through. And for this year, which will be the final piece of the investments that's coming through, we'll get our state up to the level that we need for all of the new markets coming on board. There will be an incremental $6 million and that's really driven by the full year impact of actually having some of the investments in last year and a little bit of incremental investment coming through in H1. So that's fully baked cost now and that will mean that we are secure going forward and for 2023 onwards, excluding any new market expansion, that cost rate will only increase by the U.S. inflation.
John Karidis: 43:06 Thank you, both. And if I may say to Kash, huge congratulations for everything you've achieved at Helios and a very best of luck going forward.
Kash Pandya: 43:19 Thank you very much, John. I appreciate your kind words. Thank you.
Operator: 43:24 Our next question comes from Alex Roncier with Bank of America. Alex, the line is yours.
Alex Roncier: 43:30 Hi, guys. Thank you for taking the question. The first one, I would just like to come back on CapEx, because it feels it's a little bit of step-up in ‘20 versus ‘21. And if I remember correctly in ‘21 we already had some front-loading of CapEx and I know non-discretionary is increasing a bit this year, I know we've got like a bigger growth, but I'm just trying to figure out if you could maybe give us a little bit more color on the different buckets. How much is going to be from the BTS, how much is going to be from your new installation or how much is it really related to those energy supply installation? 44:11 And maybe a larger question actually, that was my follow-up was, new strategy regarding diversification of power supply and I know you've mentioned in your introductory remarks about some investments or start of investment into solar and things like that and we've seen coincidence in Europe some of the operators and towerco even investing in mini wind turbine, so how are you thinking about diversification of energy supply? What we need to split today that driving 90%, 100% on diesel generators or is they're already in 20%, 30% on the grid? And what are you really thinking moving forward in terms of target split in energy supply chain diversification, which is obviously highly topical given the volatility in energy prices in those days? Thank you.
Tom Greenwood: 45:09 Yeah. Thanks very much for the great questions. And, Manjit, why don't you take the first one on the CapEx and then I'll take the second one on the power.
Manjit Dhillon: 45:18 Yeah, absolutely. So on the CapEx point, I mean, really this is a consequence of two things. One, the increased number of tenancies we got year-on-year. So if you are comparing versus 2021, we're now guiding to more tenancies than what we had during that course of that year, but also the splits being different. So now that we're moving from what was previously guided and being about 45% of the new tenancies being new sites to 60%, the impact of that is really north of about 250 sites if you look at the midpoint of where that guidance is coming out. So that has a material impact in terms of looking at it period-on-period and that's really one of the key drivers that we have here. 45:54 Also included within what is mid-term as discretionary CapEx is also some of the upgrade CapEx, we will be doing on the new portfolios that we purchased as well. So if you strip out some of the upgrade items, which is about $30 million, then you're kind of looking broadly consistent period-on-period and you're kind of getting broadly bettered to the numbers that we had year-on-year. I think those are kind of main reasons. Tom, on the other one.
Tom Greenwood: 46:19 Yes. Thanks, Manjit. And, yeah, look, I mean, look, power strategy is absolutely key for us as a tower company operating across Africa and to some extent, Middle East. We are also a power company and we provide all of our customers with very reliable power on each and every site, which means that to the extent the grid does not work 24/7, which is mostly does not, or to the extent the grid is not prevalent in the location of some of our sites, which again is true in some cases, we need to find other ways of providing power to our customers and because that's what they look for us to do and that's what we're contractually required to do. 47:10 So if you look at our portfolio today, we get -- in every 24 hours, we've got about 16 hours blended average of grid power, which means that there is 8 hours a day roughly that we need to find other ways of delivering power. And we do that today. Roughly half of that, so four or so hours is from battery solutions or solar solutions and the other four is from generated and it's the generated area that we've got the most focus on is only reducing. We published our carbon emission strategy a few months ago in November and in that we -- one of our key targets was to -- through to 2030 reduce our carbon emission intensity per tenant by 46%. 48:11 And as Kash mentioned on one of the earlier pages, we're very pleased actually that first year reporting of that we've shown a 7% reduction, so we're actually very much on plan to hit that 46% by the end of this decade and hopefully exceed it. And in doing that, some of the things that you mentioned that solar, mini wind turbine, they are very much in our thinking. Obviously, we do already use solar today. We to-date have not used mini wind turbines, although I have actually been seeing some very interesting new products coming to the market along those lines and we will be looking at those more, as well as other forms of sort of energy, new energy, generation and those are the -- a huge amount of exciting stuff going on in that space right now both from battery development point of view, but also things like cells and wind turbines, as you mentioned. 49:15 So, we are continually assessing and continually looking at what is new on the market. We have a very clear plan of what we're doing over the next few years in terms of connecting more sites with the grid that don't currently have grid connection, plus rolling out more hybrid battery technology and particularly focusing on the lithium batteries at the moment and also some solar where it makes sense and we have a dedicated internal team both at group level and in each operating company, which focuses on this. 49:58 They focus on optimizing the energy sector of every single one of our sites, depending on the number of tenants we have on the site, depending on the kilowatt load of that site, depending on the proximity to the nearest grid lines and depending on the hours of sunlight and the quality of the sunlight, for example, because some places are good for solar and some places are not so good. So there's a whole host of factors that feed into our internal algorithms that our energy teams run and this is very much what we do day-in and day-out. 50:36 So in terms of forward-looking, we will be reporting on this as we said in November when we launched our carbon struck strategy, we'll be reporting on this going forward and of course we've set very clear targets on this, around the 46% reduction. So, yeah, look, watch this space for us to reporting on that going forward and we'll be utilizing all of those forms of technology and I'm sure to deliver that up.
Alex Roncier: 51:11 Okay. And maybe you want to -- very interesting and maybe one follow-up, if I may on those topic, because obviously all those new technology also require, I would assume, a little bit more maintenance, because of -- I mean you had maintenance before with diesel generators and some of the on-site batteries, et cetera, but if you got solar panels in the middle of desert, like, you need to clean them up, I suppose, you know readily, frequently. So is there also like a strategy going alongside, the energy power supply strategy to perhaps starting having more of a discussion with operators regarding active equipment maintenance and maybe bringing that within the fold of the towerco as we are seeing now, maybe evolving in, I suppose, the more developed markets MSA agreements?
Tom Greenwood: 52:03 Yeah and it's a great point. And, look, absolutely, the first part of your question you mentioned around the some maintenance required, absolutely, I mean, solar panels require maintenance, they require cleaning, they get a lot of dust in them in certain locations, for example. So we have slight maintenance across all of our sites and that involves field engineers going to each sites at some point, either maybe once a month or in some cases once a quarter where we can reduce it. 52:43 Our long-term target is to get down to one site -- visit every six months across our entire portfolio, but that's not something with sort of pushing for, that will take time. So, yes, there was a maintenance plan ready for every -- from new technology. It should not increase the amount of visits we need to do to the sites, for example on the solar, it will just simply be or it is simply part of the normal maintenance to the site each month or each quarter to clean those panels. So we shouldn't see any increased of, sort of, manpower cost on that in terms of maintenance, which is there, and then similar for hybrid batteries and such. 53:31 Like, in fact, you can't reduce amount, because typically it's the generator that requires the most and TLC type maintenance and so if you can reduce the number of hours of generators running then you're probably going to be able to reduce the amount of times you have to go and visit that site, which is good. You make a very interesting point on the active visits to the sites and of course on all of these sites active maintenance engineers are visiting to do their maintenance in the active equipment. We have, on the small occasions in our history, also folded in active maintenance into the passive maintenance, but typically today the preference of our mobile operator customers have typically been to split it, partly that's because active maintenance will be always a key part of the offering from the equipment vendors and it's sometimes too complicated to disentangle that, but one thing that we are looking for in the future potential and you alluded to it is the possibility of -- after the towerco owning part of the active equipment on the site, which is, perhaps, the natural extension of they owning the tower and the power, owning the base station and perhaps some antenna as well and perhaps the natural evolution of that and of course that is happening in some markets around the world already. 55:14 There is a number of regulatory complications on that in most of our markets and so much as the regulators are quite clear on which companies are allowed to own and operate as for the equipment and which companies are not. And so there is some regulatory hurdles to jump over in terms of us provisioning that, but it is certainly something on the topic of conversation with some of our customers and something that we are definitely looking at from an internal perspective. So, yeah, watch the space for that as well and it could be something that comes in over the next few years for us.
Alex Roncier: 55:58 Okay. Perfect. Thank you so much for the insight and the lengthy answer. Thank you.
Tom Greenwood: 56:04 Thank you.
Operator: 56:05 Our next question comes from Jerry Dellis of Jefferies. Jerry, please go ahead.
Jerry Dellis: 56:12 Yes. Good morning. Thank you for the presentation. I've got two questions, please. The first one is just building on some of the points you made about power price sensitivity on Slide 18. So the question is, would you be able to specify for us, please, what power price assumption is implicit in your 2022 guidance? And then also help us to understand how higher prices play through margins as we progress through 2022, obviously we're mindful of the sort of potential, sort of timing differentials between the higher cost sitting and the contractual escalators balancing up? 56:57 And my second question has to do with your build-to-suit guidance. Obviously, you're now guiding that 60% of growth will be built-to-suit. So the questions here, please, are, does that higher build-to-suit activity relates to any specific markets or is it fairly broadly based? And then as we look forward, you talked about build-to-suits mix declining towards sort of 50%, but I wondering if you could sort of help us understand to perhaps a slightly higher level of granularity what is the sort of appropriate build-to-suit proportion to be modeling two to three years out on the enlarged group perimeter? Thank you.
Manjit Dhillon: 57:43 Thanks, Jerry. I'll pick up some of these. And so in terms of the contracts and what we went through on Slide 18, we doesn't ended cost across all of the markets when it comes to power prices. We don't kind of provide that, but effectively we are looking at what the prices are right now with a small, I'd say, conservative assumption for how that will move over the intervening period. So that's why there's a little bit of impact when it comes to EBITDA margin, so that we've kind of baked into our overall guidance. But I think the fundamental point here is that, with regards power prices and our escalations, half of the contracts escalate annually, half of them escalate quarterly, so with the annual escalations, some of those broadly kick in around February. So if there is an intervening increase up until that point, you will see a better margin dilution from the fact that you're able to pass on the customer up until the following February. 58:39 Now, that's slightly counteracted by the fact that the other half are quarterly where you will get kind of your catch ups coming through. Now, all things being equal over a medium term period, we're actually slightly over-hedged on power. So if there is increasing power prices, we actually get a little bit of margin that and that's principally because of our colocation ratio. So we actually get a bit of a multiplier. It's relatively immaterial, but in the grand scheme of things we have a little bit of an increase there and that's why on slide 18 you can see the effective 10% price movement, you've actually get a positive EBITDA impact on that, however, which is plus 2.3% if you were to get both prices happening at the same time. 59:17 So really what we're seeing and what we expect to see during the course of the year is that, if there are price movements you don't get a decline on the P&L from your annual escalators being slightly counteracted by your quarterly and that's what we are effectively baking in our numbers at the moment. With regards your other question on build-to-suits and the split, effectively some of these will be pro rata versus the operations which we have at the moment. So Tanzania and DRC really being taking the lion's share of a lot of the build-to-suits, but also having a good rollout in Senegal and Madagascar and our other established markets as well and that's very similar what we've seen historically and during the course of this year -- sorry, I should say 2021 where typically we used to be find about 40% of our rollouts happening in Tanzania and DRC and rest of the markets picking up the balance. And I think that's something that we'll see again during the course of this year. And I'm sorry I missed the last part of your question, if you don't mind to repeat.
Jerry Dellis: 60:19 Yes. I think during your discussion you mentioned the build-to-suit proportion should decline back to 50% or below 50%, but I just wondered whether we should be modeling going back towards 40% on a three-year view or whether we can sort of get a little bit more detail on that please?
Manjit Dhillon: 60:37 Yes. So what we actually say in our medium-term guidance, which is towards the back end of the presentation on Page 22, is actually that will reduce on a straight-line basis to actually 30% over three to five year time horizon. So we really expect the majority of the new tenancies, all things being equal, to actually be more skewed towards colocation. Now on a year-on-year basis, you can find peaks and troughs like we find in 2022 and actually in 2021 we've had a bit of an elevated level of new sites, but over the long, the medium to long term, you'll actually find that the majority will be colocations. So the way to model that is reducing down to 30%.
Jerry Dellis: 61:16 All right. Thank you. And then just to return very quickly on the power point -- the power price point. So I mean long story short would be that, there is no particular reason why we should be expecting power prices to cause some sort of temporary margin squeeze in the first quarter?
Manjit Dhillon: 61:35 Not in the first quarter, but you should potentially see it coming through in the back -- at the back end of the year.
Jerry Dellis: 61:42 Thank you very much.
Manjit Dhillon: 61:43 Cheers.
Operator: 61:46 Our next question comes from Simon Coles of Barclays. Simon, please go ahead.
Simon Coles: 61:52 Hi, guys. Thanks for taking the questions. Just a follow up on the power price one. So, I guess, you don't want to give too much color, but just to understand from our side, are you basically assuming that the prices don't really change from here for the rest of the year and that's the impact that you're baking into for the guidance, because I guess we might expect some potentially wild moves in the price of fuel given everything that's going on globally. And so if the price that go from sort of $120 down to back like $70, it would be good to understand sort of how much of that is baked into the guidance and how much isn't? 62:28 And then so I guess the second one is just on sort of M&A. You've obviously had a very successful 2021 with a lot of transactions and there's a couple more to close this year, but we think Chad is now not going to happen. I guess if you could just give us an update on sort of the M&A plans going forward? Should we expect 2022 to be another integration year and then 2023 is when potentially you might start looking at other opportunities again as the balance sheet delevers? Thank you.
Manjit Dhillon: 62:55 Thanks. I'll take the power point and Tom could take the M&A one. So on power, we are assuming an increase in power prices. We've made a relatively conservative assumption and the reason why we're doing that -- if you actually see power prices remained stable during the course of the year, then you won't see too much of an impact on the margin. But assuming that there is some volatility that's going through, then we would expect a short lag affect in our P&L and that's why we are expecting a little bit of a negative movements in terms of EBITDA margin, but again this important conservatism in terms of our modeling. But I think as we look at the EBITDA margins, well, generally the guidance that we've given -- just going to be very clear about this, the majority of that is really driven by the fact that we've got full year impact of the new acquisitions coming through of Madagascar and Senegal, which are diluted to the EBITDA margin. Added on top of that the SG&A investments that we're making to increase the platform and those are really the key moves with a little bit of additional buffer that's put in for some of this lag effect that's coming through. And, Tom, on the M&A?
Tom Greenwood: 63:56 Yeah. Thanks, Manjit. Hey, Simon. Thanks. Thanks for your question. Yeah. So, look, on the M&A, the focus this year is really on integration, as you mentioned. We're really looking to close, obviously, the remaining three deals; Malawi, Oman and Gabon, and really get those integrated as well as finalizing the full integration of the new deals that we closed last year in Senegal and Madagascar, which are both very much on track on that perspective. And, of course, focusing on the organic growth of our existing business and all of our markets, including renewals. So that's really the focus of ours right now for this year. 64:46 In terms of other M&A or future M&A, there are deals that we're monitoring, there are potential opportunities we're monitoring, there is -- but I'd say that most of them are sort of next year's business or beyond. So we will be very much focused this year on organic growth integration. I'm really driving the existing business forward and will obviously take stock and look at any new opportunities that really ahead, but right now we're looking at M&As, more for new M&A, more for next year's business and beyond.
Simon Coles: 65:34 Sounds good. Thanks, guys.
Tom Greenwood: 65:36 Thanks, Simon.
Operator: 65:39 [Operator Instructions] Our next question comes from Abhilash Mohapatra of Berenberg. Abhilash, please go ahead.
Abhilash Mohapatra: 65:52 Yes, hi. Good morning, and thank you for taking my questions. I've got two, please. Firstly just on colocation growth and I'm sort of thinking more specifically about standard colocation growth. Here, I guess, we sort of seen in 2021 that with the exception of DRC, the growth was actually lower this year than it was in 2020 in most of your other markets like Tanzania, sort of -- and the Congo and Ghana. This is in the context of your guidance as well, but you sort of saying that you expect nearly 60% of the tenancy growth to come from new sites. Just wanted to get some color on how you see the prospect for actually leasing up your sites and driving standard colocation tenancies up in the sort of near to medium term? 66:47 And then, secondly, just maybe somewhat related to that on Slide 10, where you showed the return on invested capital for your business and you showed that pro forma for acquisitions, it's on 9%, where that should be an obviously sort of much more impressive figure in the past, but do you expect to be able to drive that number back to the sort of 13%, 14% mark? And if yes, over what kind of time horizon would you expect that to come through? Thank you.
Tom Greenwood: 67:22 Yeah. Thanks, Abhilash. Its Tom here. I'll take these. So, yeah, look, I mean, on the colocation growth, you mentioned that we're guiding to a higher percentage of build-to-suits this year of 60%. Yeah. No, look, I mean, it's very much driven really by the strategies of some of our key customers and what we're looking at in terms of our own marketing strategies and customer acquisition strategies. And, interestingly, what we're seeing right now -- to some extent, what we saw a bit of last year as well in some markets was a real sort of renewed push for new coverage in areas which previously had either little cell coverage or no cell coverage in some cases and we're seeing that continue into this year, which is why we've guided 60% build-to-suit this year and we have quite a few orders on hand right now, which are building new sites in new locations. 68:31 And I think this is just a natural cycle. In some years, mobile operators will focus on upgrading and densifying and maybe upgrading technologies on their existing sites and creating more infill, creating more capacity in areas which they currently cover and other years they might look at new subscriber acquisition in areas which previously had little or no coverage and we are in that space now, which is great to be honest both from a sustainability perspective and building up more sites in rural location, providing connectivity to communities which previously did not have connectivity or did not have much connectivity. We're very, very pleased to be doing that. But, as you alluded to, of course build-to-suits create more capacity for future colocation and for every single build-to-suit that we built we always do a very deep assessment of the geo marketing of that location, checking lease liability for future lease-up of future demand in those, so we'll look at things like local population density, local amenities and all of that will feed into our proprietary algorithms in our geo marketing tool, so we predict how many and how quickly we will get more colocations on these sites. 70:08 So, yes, absolutely, we expect to drive more colocation in the future from these new build-to-suits. So as we do from our acquisitions, of course, we're acquiring sites, which typically have a tenancy ratio close to one tenant per tower, so it's the same concept of buying more scale on day one to then really drive the lease up going forward, which of course is the number one driver for margin growth and for ROIC. And so just finishing off that on the -- you mentioned on the Page -- in the Slide 10 on the ROIC thing then diluted from 13% to 9%, which is just simply the natural thing that happens when you buy and use one of these network with a lower tenancy ratio. The answer is yes. Absolutely, we will be driving forward the lease up, driving forward the growth and also some operational efficiencies over time to really get that ROIC back up to the levels that we've been saying. 71:09 And I think the chart on the right actually show that very well I think, because prior to 2016 we've on a large acquisition initiative and sort of have established a new platform. You can see that the margins were pretty low, in fact way lower than they are today even with the dilution. Over the last few years, we've driven that up significantly based on just simply having a much larger platforms that sell to our customers and to drive operational improvements and we're absolutely primed and ready to do that now on the -- nearly in large portfolios that we have. So, yeah, I think that you can expect all of that to be happening in the next few years.
Abhilash Mohapatra: 72:04 Great. Thank you. Thanks for the answers.
Tom Greenwood: 72:08 Thanks.
Operator: 72:09 Our next question comes from Nikita Meherally of Emirates NBD. Nikita, please go ahead.
Nikita Meherally: 72:18 Hi. Thank you for the presentation and I apologize if my questions have already been asked before. Could you please elaborate on the acquisition planned beyond 2022? And I think since you are close to achieving the 2025 target pretty soon, would you be looking at new markets or would you wait to improve tenancy ratio and maximize return on the acquired assets? And in case you look at new markets or further acquisitions, how do you think about funding given the higher costs now? My second question is regarding cash. So what sort of cash level are you generally comfortable with, as in how much would you like to maintain? And, lastly, if you could give some color on leverage and what are the medium-term targets here? Thank you.
Tom Greenwood: 73:19 Thanks very much, Nikita. Yeah. Look, why don't I take the first couple there on the acquisition plan and Manjit if you take the ones on the funding and the cash leverage levels. Yeah. So, look, in terms of acquisitions beyond 2022, look, 2022 is really us focusing on integrating the previously announced acquisitions and focusing on motoring forward with our organic growth, organic performance and our overall business excellence strategy across the group and making sure that's embedded in all of our markets, including the new ones. So that's really our big focus for this year. 74:01 As I mentioned briefly earlier, we obviously continue to monitor the market for acquisitions. We have business development team, which is always monitoring, and there are some very interesting opportunities out there. But I think that given the timing of details and sort of gestation period of them, it's very much on next year's business and beyond and we'll just continue to monitor the market as we always say. So really, we are -- as you mentioned, we are focused on interesting assets, maximizing those returns, getting the lease-up going on those assets, really driving the performance and getting operations going in from the new markets and those are big focus right now. 74:57 And over the next few years, I'm sure there will be acquisition opportunities that arise and we'll look at them in a normal way. We certainly see that value in further geographic diversification and scale growth over time and we think that that opportunity is certainly rare in the regions in which we operate, being Africa and Middle East, so we'll continue to look at that in the future. And, Manjit, on -- just on the funding, cash levels and leverage, do you want to say a few words on that?
Manjit Dhillon: 75:32 Yeah, absolutely. So in terms of our leverage levels, we've always communicated that we like to operate broadly within a range of 3.5 to 4.5 times net leverage. Out of that, we're at 3.6 now. Pro forma for the acquisitions will be towards the top end of that leverage range, but, as Tom said, we don't see potentially any acquisitions really coming through during the course of the year that's probably going to be for next year and beyond, by which point -- and the beauty of this business model is, then it deleverage very, very quickly. So we should have the debt capacity that we require should we need it for future acquisitions. But effectively the way we always think about acquisitions, there will be forms always, if possible, cash on balance sheet, debt capacity and then other forms of financing there afterwards and that's the way that we'll look at it when we channelize it. 76:16 But one thing that we don't do in the course of the year is, we get to diversify our source of the funding, so we've got mostly our convertible bonds, which we really like as an instrument. We've now got -- we've also got our high-yield bonds, which we had for a long period of time. And we've also got in-market debt financings as well. So the combination of all three of these really act quite well and provide us some diversification in terms of how we look for funding as we go forward. And in terms of cash level, we like to keep broadly in the region of around $100 million, $150 million for those on the balance sheet. So majority of that will be broadly held at the group and we keep up a small balance in the like of opcos and we always do streaming of funds to our group facility. So we keep it up in your case for working capital and CapEx purposes, but the vast majority of our funding is always held offshore.
Nikita Meherally: 77:07 Thank you.
Manjit Dhillon: 77:11 Thanks.
Tom Greenwood: 77:12 Thanks, Nikita.
Operator: 77:13 We have no further questions on the phone line. So I'll hand back to Kash.
Kash Pandya: 77:20 Well, thanks, Jordan. Well, look, thank you very much everybody for joining our call, and we look forward to talking to you during our Q1 numbers presentation in May. Thank you. Bye-bye.
Operator: 77:34 This concludes today's call. Thank you for joining. You may now disconnect your lines.